Operator: Good morning and welcome to RioCan Real Estate Investment Trust Second Quarter 2013 Conference Call for Wednesday, July 31, 2013. Your host for today will be Mr. Edward Sonshine. Mr. Sonshine, please go ahead.
Edward Sonshine: Thank you very much and welcome to the Q2 2013 conference call of RioCan which I think is also a webcast. So before we start, I’ll read you the warning I’m required to and talking about our financial and operating performance and in responding to your questions, we may make forward-looking statements, including statements concerning RioCan’s objectives, its strategies to achieve those objectives, as well as statements with respect to management’s beliefs, plans, estimates, and intentions and similar statements concerning anticipated future events, results, circumstances, performance or expectations that are not historical facts. These statements are based on our current estimates and assumptions and are subject to risks and uncertainties that could cause our actual results to differ materially from the conclusions in these forward-looking statements. Additional information on the material risks that could impact our actual results and the estimates and assumptions we applied in making these statements, can be found in the financial statements for the period ending June 30, 2013 and Management’s Discussion and Analysis related thereto, together with RioCan’s current Annual Information Form that are all available on our website and at www.sedar.com. With that out of the way, Fred and Rags are of course here with me. They’re each going to do a presentation I will do a short presentation and then we will open it up for any questions that we have left unanswered on those presentations. So Mr. Davloor, over to you.
Raghunath Davloor: Okay. Thanks Ed and good morning everyone. We are pleased to review RioCan’s second quarter results that were released earlier this morning. For the second quarter, RioCan recorded operating FFO of 121 million, an increase of 15 million or 14% compared to operating FFO of 106 million in Q2 2012. On a per unit basis, operating FFO increased $0.03 per unit or 8% to $0.40 per unit in Q2 ‘13 compared to $0.37 per unit in Q2 2012. The increase is primarily due to increased NOI from rental properties of 17 million which is due to acquisitions, same store growth of 0.6% and 1.4% of the trading in US portfolio respectively, the completion of greenfield developments, net of dispositions which impacted NOI by approximately 3.5 million. We have lower interest expense of 1 million and these items were offset – partially offset by higher G&A expense of 2.5 million, largely due to favorable GSP recovery in 2012, higher stock based compensation, increased investment in the Trust operating infrastructure due to growth and the establishment of the US platform and the systems installation project. And we also have lower fees in other income of 1 million. For the remainder of 2013, the quarterly run rate as of June 30, adjusted to include acquisitions and dispose that have closed during the quarter is approximately 188 million. For the year, we expect same store growth to be in the range of 1.25% to 1.4% for the third quarter. We expect same store growth to be either side of 1.75% and we expect to see further growth in the fourth quarter of the year as some of the current vacant space gets backfilled and the income comes online. Property and asset management fees are expected to be approximately 3 million and 3.25 million for Q3. Interest income on a quarterly basis was expected to be in the range of 3.3 million to 3.5 million. G&A is expected to be approximately 47 million for the year. For Q3, we expect G&A to be in the range of 9.5 million to 10 million. During the most recent quarter, RioCan completed a total of seven income property acquisitions in Canada and the US for 460 million in total with a weighted average cap rate of 5.2%. Subsequent to the quarter end, RioCan completed an income property acquisition in the US for 20 million at a cap rate of 6.3%. During the quarter, RioCan announced had entered into an agreement to dissolve the JV agreement with Retail Properties of America or RPAI. Under the terms of the dissolution RPAI will convey its 20% management interest in eight properties to RioCan and RioCan will in turn convey its 80% interest in the remaining five properties to RPAI. The gross purchase price of the 20% interest in the eight properties to be acquired is 96.6 million, representing a cap rate of 6.9% and represents a total of approximately 600,000 square feet. RioCan will in turn convey its 80% interest from the remaining five properties for purchase price of 102.8 million. This transaction is expected to close on October 01, 2013. RioCan has also entered into an agreement to dissolve JV agreement with Dunhill Partners. Under the terms of dissolution, RioCan will apply its partner’s interest in six properties in Texas for a total purchase price of 83.5 million which equates to a cap rate of 6.4%. As a result of these transactions, RioCan will open an office in Dallas and expect to achieve additional efficiencies through managing the properties ourselves rather than paying third party management fees. In addition to the RPAI and Dunhill agreements RioCan has one income property under contract for the conditions have been waived at a cap rate of 5.4% at a purchase price of 58 million. Additionally, RioCan has 108 million of income property acquisitions that are currently contract with conditions that not yet been waived. For 2013, we expect acquisition activity to be in the range of 700 million to 800 million, which includes the properties being acquired in US from the underlined of the RPAI and Dunhill joint ventures. Regarding the disposition pipeline, RioCan had dispositions of 364 million during the quarter. Subsequent to the quarter end, RioCan sold one property in Canada for 4 million and has two property dispositions in Canada under firm contracts with conditions have been waived at a total sales price of 13 million. Additionally, RioCan has two property dispositions under conditional contracts where conditions have not been waived at a total sales price of 9 million. Finally, there are two other non-core properties in Canada that RioCan is currently marketing for sale that have an IFRS carrying value of approximately 21 million. We are under no obligation to pursue such dispositions which if completed will be done to facilitate our objective of pairing our portfolio to focus on major markets and to recycle capital. RioCan has also been active on its development property acquisition program. During the quarter, RioCan completed the acquisition of three development properties for total purchase price of 39 million at RioCan’s interest. These include the acquisition of 2.8 acres site in the Calgary East Village that was acquired by KingSett Capital, 52.5 acre parcel in west Kanata with Tanger that will be developed into a Tanger outlet centre and the second phase of Globe & Mail lands a 1.2 acres in Downtown Toronto partially adjacent to the 6.5 acre parcel that was acquired in the fourth quarter of last year which was acquired with Allied Properties and Diamond Corp. RioCan’s one additional development property outside Calgary and the further contracted purchase price of 14 million at our interest. This site will be acquired with Tanger to be developed into a Tanger outlet centre. A further 6 million of development properties are under contract where conditions have not yet been waived. Under IFRS at June 30, RioCan’s investment properties was valued at 12.8 billion after RioCan’s interest base on a weighted average cap rate of 5.93% which was a decrease of five basis points during the second quarter. This translated to a fair value gain of 48 million at RioCan’s interest in the second quarter. In referencing RioCan’s interest in these statistic calculations are based on the proportionate calculation. The primary reason for the decrease in the cap rate is due to the increased weighting of the portfolio in Kansas six major markets as a result of the recent acquisitions and dispositions activities. Financing continues to remain favorable, despite the recent rise in the underlying Canada yields and the Trust continues to experience savings on our refinancings. RioCan completed the Series T M secured debenture offering a 10 year 200 million offering with a coupon of 3.72%. The proceeds from the offering were used to replace $115 million Series M unsecured debentures that was redeemed. These debentures carried a coupon of 5.5% and were due in 2015. By doing this, we have proactively smoothed out our debt ladder to expand out our 2015 maturities and took advantage of the favorable interest rate environment. In the second quarter, RioCan’s coverage metrics continue to improve over the prior quarter. The ratios on a proportionate consolidation basis for the quarter were as follows; interest coverage at 3.04 times, debt service coverage at 2.19 times, fixed charge coverage which includes preferred and common distributions of 1.08 times. RioCan’s debt to total assets on a proportionate basis was 44.2% as compared to 43.6% at December 31. RioCan’s other measure of leverage, net operating debt to operating EBITDA was 7.5 times for the quarter. RioCan’s continued flexibility to generate additional funds through financing maturing loan balances as well as repay additional loan balances to increase the size of RioCan’s pool of unencumbered assets. As at June 30 2013, RioCan had 96 properties that were unencumbered with a fair value of approximately 1.9 billion which represents 128% of RioCan’s unsecured debentures. As we have previously stated, it is our objective to continue to grow the size of the unencumbered pool. We have set an initial target of 130% of unencumbered assets to unsecured debentures which we expect to achieve before the end of this year. Overall, we are pleased with our results and positioning of our capital structure. We continue to strengthen the balance sheet and credit metrics which provides us access to capital for both debt and equity to fund our ongoing acquisitions and development platforms. Fred will now provide further insights into operations.
Frederic Waks: Thank you very much, Rags. I’ll be talking operations at June 30, 2013. Total number of new leasing deals was 194 for 2013 as compared to 198 equating to just about 725,000 square feet 2013 as compared to 917,000. The income however, was pretty much equal to approximately 13.9 million and the fact that $19.20 was our average new rental in terms of new leasing as compared to $15.23 the previous year. Of that, national tenancies equated to approximately 72% for 2013 as compared to 80% was again $19.02 per square foot for 2013 as compared to $14.02 per square foot. To give some color of the type of leasing that we’ve been doing, we’re seeing a great amount of activity from banks, restaurants, CRE tenants that are being embellished now that we have 15 of our target stores opened only 12 being traffic on the apartment lot. And looking at some bigger projects of course we’ve had Georgian Mall projects about a year now and we’re pleased to announce that we are negotiating in final steps with (inaudible) Victoria Secret, Pink and done deal with Pandora. In terms of Yonge Sheppard Centre driven by the at the theater’s left, we’ve been able to actually double up the space and have done a conditional deal with 55,000 square foot food store and a 40,000 square foot not only doubling up the size of the store we’re talking about rents that are commensurate with urban locations we’re talking about in both cases two or three times in terms of net based rents as compared to what we were saying from . The outlet business continues to be very vibrant for us with Tanger as a partner we are dealing on with developments in Kanata expansion Calgary and our two Montreal outlets. And we have completed deals with the likes of Coach, Puma, Brooks Brothers, Banana Republic, Calvin Klein, (inaudible) Famous Footwear and GAP. Renewable for the quarter we are – I’m happy to say our renewal tension rate is back up to 95.9% to June 30, 2013 to 89% as compared to 90.6% the previous year with an average rental increase of $3.07 as compared to previous year of 2.97. Across the board on all asset classes we have seen double digit growth ranging from 10.6% to just over 17%. In terms of budget and unbudgeted vacancies to-date we’re pretty much consistent where we were a year ago with about 1.33% or 15.4 million as compared to 14.4 million the previous year or 1.34% of a bigger base. Of course the majority of that being the Zellers location which I’m pleased to say that we are 62% leased at this point in time with repositioning of the Shopping Centers that we have done deals with Winners, SportChek, Dollarama, Loblaw, Bed Bath deal on LA Fitness and Giant Tiger. Of that 62% is replicated 110% of the rents that we are seeing before or in putting a dollar per square foot $10.21 per square foot as compared to $5.28 the existing. Sportsmart also has repositioned size and we have approximately done three out of eight stores there with our Arden and (inaudible) with offers on the balance remaining which has just happened in the last quarter. In terms of our occupancy, our occupancy due to the Zellers is down to 96.7% from 97% in the first quarter with our economic occupancy basically running at 95.4% or equating to 641,000 feet of deals in place or 15.2 million of annual gross income. Our top 10 with all news that’s happened is interesting as stand here today our number one tenant still is Wal-Mart with number being two Canadian Tire post Loblaw, Safeway and the entire Empire transactions we would have something in common with choice REITs Loblaw would be our number one tenant although there is a different number at 4.1% with Wal-Mart being number two Canadian Tire three Galaxy fourth and Metro being fifth. In terms of the US portfolio, we are running at a very strong 97.3% with joint still being still being our top tenancy with just under 10% and the rest of being Wal-Mart, Michaels, Staples, Bed Bath etcetera. Renewal retention rate remains strong in the United States with 94.9% of retention which is very high to our cost in the state and our revenue now being derived at 55% coming out of Texas with the balance being at the Northeast.
Edward Sonshine: Fred thank you. Rags Thank you and for any movie goers that in the Yonge Sheppard area of Toronto who are panicking because of Fred’s comments about the theater closing, I would like you to know that the Cineplex moved up the street to the Yonge Street to our complex where they happily signed a 15 year lease to take up their space that Empire had previously vacated. So that’s – it’s all good story in the Yonge Sheppard area for REIT again. Anyway as you can probably tell all of us here at RioCan are extremely pleased with the second quarter results. We achieved operating FFO $0.40 per unit without any unusual fees or lease surrendered payments. I think that the analyst community will not only have nothing ducked from our reported number but if they look they might actually to find some things to add back. In addition to lack of any unusual income items, we felt the full impact of the Zellers vacancy of the nine stores not taken by Target or anyone else. While the base rent loss is relatively less than the total square footage of 566,000 square feet, it’s still now almost $1 million per quarter. In addition, we currently have over 550 million invested in our development program. While this creates a current drag on FFO, it will result in significant growth over the next several years. Accordingly, I’m confident that $0.40 per unit of operating FFO is RioCan’s new base case and that will only rise in future quarters. Touching briefly on our US strategies which quite frankly we’re delighted it turned out even better than we could have even foreseen just over four years ago only made the decision to undertake a US expansion. By the fourth quarter of this year we had fully operational offices in New Jersey and Dallas managing an initial portfolio of almost 50 shopping centers comprising of about 10 million square feet. While we have reports occurred some onetime cost this year in setting up this platform, we’re optimistic that the cost savings through providing in house property management as well as the ability to lease and operate the properties as part of our larger North American portfolio will lead to significant growth in our US operating FFO in 2014. Our confidence about the remainder of this year and 2014 is not based on making any material acquisitions or even experiencing material refinancing savings. While there will undoubtedly be opportunistic acquisitions and some savings on refinancing, the primary components of our growth will be coming from the completion of developments, of redevelopments from organic growth and from more efficient operations as we complete the technology restructuring which we’re currently in the middle of. My optimism about RioCan’s immediate and longer term future and optimism which sadly is not reflected in our current unit price, is not only due to our growth drivers described above but actually it is primarily based on the fact that we have put together a property portfolio that has the size, breadth and quality, simply cannot be duplicated in this country. It could not be built again today. We made a strategic decision almost nine years ago to focus our efforts on the six growth markets of Canada and as of the end of the second quarter, over 72% of our Canadian revenues come from those markets. Any study of demographics will show you that Canada is quickly becoming an urban nation. As of the last available census information, well over 50% of Canada’s population lives in these six markets and if one includes the entire Golden Horseshoe of Southern Ontario in this situation which is often referred to as Eddy’s GTA around here, that figure jumps to over 60%. The population growth rate in these six metropolitan areas is more than double that which applies to the rest of the country. So the percentage of the population that lives in these six markets will inordinately increase as each year goes by. When you add the demographic information noted above to the fact that virtually every one of the six growth markets has liminated or eliminated the creation of new suburbs or towns on their periphery one easily comes to conclusion that the value and the rent growth of retail properties within the existing urban boundaries can only go up. This is something we are already experiencing and we see absolutely no reason why this trend will not continue. Finally I think of few comments on the macro environment might be in order. While there was in fact a jump of 75 basis points to 100 basis points in underlying interest rate and while there is no doubt that this has had an impact on the multiple assigned to our units, I believe that the pull back in pricing that we and the sector in general had experienced is overdone. I should – Keep in mind that even at this new level of interest rates we are still able to tenure debt at around 4.25% and seven year debt at less than 4%. The economy itself continues to be a Goldilocks’ scenario which while presenting some operational challenges will not itself will result in kind of inflation that will cause interest rates to go much higher. And so far as cap rates are concerned, we expect that there will be movement up in cap rates but only in the secondary markets. We do not believe there will be any material movement in cap rates for properties in the major markets of Canada. Our reasoning for this is quite simple. Greenfield development opportunities will become almost non-existent within those major markets and the growth income potential of existing properties will be fully recognized so that even a modest further increase in interest rates will not impact those values. This of course owes simply to the recognition of the demographic shifts that I discussed previously. So thank you very much for you attention. I’m going to throw the floor open to questions and we’ll probably stay around to answer as many questions as you have. Melanie if you can turn it over to question mode.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions]. The first question is from Pammi Bir of Scotia Capital. Please go ahead.
Pammi Bir – Scotia Capital: Thanks and good morning
Edward Sonshine: Good morning.
Pammi Bir – Scotia Capital: Just given rates have gone in and may be going back to your comments, can you may be comment on how they may have changed? How you look at capital allocation say buying back your stock here developments and acquisitions?
Edward Sonshine: Sure these are discussions that Fred I and Rags have I would say virtually every day because at the end of the day we think capital allocation is one of our most important functions. And we started actually dialing back acquisitions probably over a year ago which is why our development program is where it is today. We started focusing I’ll be honest probably by early last summer we started focusing on developments and strategic acquisitions because we felt number one that properties were priced to perfection and they are never perfect. And number two they are inevitably there had to be an increase and essentially I mean our unit cost and the cost of borrowed money together in a formula make up our cost to capital. We felt inevitably our cost of capital had to rise so while we’re happy making strategic acquisitions which we did over the course of last year we probably bought about $800 million in malls which we thought was strategic for us. But every day acquisitions we dialed back a bit. And hopefully I’m answering your question but right now I would say that properties to attract our attention on an acquisition basis have to either be strategic for some reason to us or have significant growth potential in the near to medium term. Other than that, we’re going to be focusing on developments. As far as your last question Rags I and Fred had ongoing discussions about at what level we think it makes most sense to use our available funds to buy back stock. Quite frankly where we closed yesterday, I don’t think we’re too far away from that number. It’s a number that we recalculate and then do our best to figure out what we think it is. Clearly as of yesterday’s close anyway we feel we are trading under our net asset value. So that’s a starting point. We then have to take into account what it does to the rest of the company from a point of view of credit metrics etcetera because it’s a double hit. We’re using available cash or credit facilities to effectively reduce our equity capital obviously the various metrics that are quite affected. So it’s not an easy answer but I hope I’ve given you enough to work with.
Pammi Bir – Scotia Capital: No that’s great color
Edward Sonshine: Thank you.
Pammi Bir – Scotia Capital: And may be just shifting to the balance sheet the goal certainly has been to continue strengthening its position but given the rise in the cost of capital can you comment on the outlook for leverage versus where it is today and I guess where you wanted it to be and may be some commentary on the timing of that?
Raghunath Davloor: Yeah I mean we’re still committed to long haul to reduce our leverage I would say at this point we are pausing we’re not looking to increase – to decrease the leverage or the need to sell assets or raise equity. So the latter raise an equity today is lot of attractive options. We are selectively selling assets but nothing of large scale some of that money may be used to recycled into the share buyback program. So I would say we’re going to stay leverage neutral at this point and see how the markets shakes out and how the volatility shakes out. The debt to EBITDA we still feel that, that will come down due course through same store growth and we’ve got a lot of money tied up in development that comes on-stream that’s going to move a dial on debt to EBITDA which is really what we’re more focused on at this point. The overall debt to gross book value is something we obviously track but I’ll tell you right now we are sort of neutral on that.
Pammi Bir – Scotia Capital: Okay great. And may be just one last one given the consolidation that we’ve seen taken over at the tenant level can you provide some perspective on thoughts on what impact if any you see this having on the business going forward? And any changes that you are seeing in the leasing dynamics?
Edward Sonshine: I think it’s too early to see any changes in the leasing dynamics the joke around here is if this keeps up soon our life will be very easy we’ll have to make one phone call to lease the whole shopping center because it just be one tenant in Canada. But I think it’s not going to have any real change on us in any material fashion obviously anything that adds to reduce competitiveness and the tension between the landlord and a tenant is not to our advantage. But I think any time you’ll see an entrant sort of go off the map or you see that kind of consolidation like between Safeway and Sobeys to take that as an example. You’d be surprised how new entrants like Overwaitea save on from Vancouver will expand to create that tension that may be So unless Fred unless you have something to add I don’t think we’ve seen any impact and I don’t think we really expect to see anything of a negative fashion if anything positive. Okay?
Pammi Bir – Scotia Capital: Okay. Thank you
Edward Sonshine: Thanks Pammi.
Operator: Thank you. The following question is from Neil Downey from RBC Capital Markets. Please go ahead.
Neil Downey – RBC Capital Markets: Hi guys Good morning.
Edward Sonshine: Good morning.
Neil Downey – RBC Capital Markets: Perhaps one simple follow up question to something that was discussed earlier Rags or Ed. The idea of a normal course issuer bid versus your view of the value of your unit, do you think it makes sense at least to perhaps deploy that NCIB to the extent that it would be simply neutralizing the effect of your drip which I think is a little over a $1million units a quarter which if you believe your units are trading below NAV that you inherently a small diluted equity issue on an ongoing basis that you could neutralize via the NCIB?
Edward Sonshine: You know Neil you put your finger on something that’s actually been troubling us because when we first talked about NCIB my comments or Rags was we should get rid of the drip. And the general conclusion of three of us talked about was the drip has been an important feature of RioCan quite frankly almost since the beginning. Many of our retail investors love it I mean I think their traders is over 25% it seems to hang around that level. But certainly your point is well taken at a very minimum we would look at doing that but we probably would keep the drip in place just quite frankly out of loyalty and sometimes you never know when you like having in place things change as we know.
Neil Downey – RBC Capital Markets: And my comment in no way would suggest that you eliminate that drip because I think it’s your most loyal investor absolutely.
Edward Sonshine: So you’re saying just to neutralize it then I think that’s a good starting point.
Neil Downey – RBC Capital Markets: Yeah. Okay thank you
Edward Sonshine: Thanks, Neil.
Operator: Thank you. The following question is from Cedrik Lachance of Green Street Advisor. Please go ahead.
Cedrik Lachance – Green Street Advisor: Thank you. Ed I don’t think I’ve ever heard you be your stronger word in describing the likely demographic advantages of the top cities in Canada versus what it’s previously been and versus what you think is going to be happen in the smaller markets
Edward Sonshine: Right
Cedrik Lachance – Green Street Advisor: So when – given what you said there does that make you want to be an aggressive seller of your assets in all other markets?
Edward Sonshine: No not all other markets I mean look the reason I am that aggressive first let me say is not because that I woke up feeling aggressive this morning, it’s because the factual information we just keep saying month by month, quarter by quarter just makes us feel stronger and stronger For example the nine Zellers stores that we talked about a lot of you if you looked at where they were, they were none in the six metropolitan markets sufficed to say. If you looked at where the biggest rent increases were getting they are probably within a mile or two of where we’re sitting right now or a similar place in Calgary or Vancouver. So the news gets stronger. As far as aggressively selling in secondary markets sort of latter part of your comment/question there are very good secondary markets which have great FFO that’s hard to replace. For example Sudbury, Sudbury is a great city. We have the largest power centre in Sudbury whether they will be great population over the next several years no Kingston is a similar market places like Halifax I mean these are real cities striving economy based on different things but you don’t just throw those away. Other than those kinds of markets, markets that we feel are actually going to see declining populations over the next five to 10 years, we will be fairly aggressive. And I think you just got to just look at where the properties we already sold are. If we had a significant number of opportunities in the urban markets or a place to redeploy the capital, we probably be even more aggressive but as you know we have to walk a balance between Okay we get more aggressive, we sort of I won’t call give them away aggressively sell the properties and generate a few hundred million dollars so what we do with it. So right now we have more than ample liquidity for our development programs, for any acquisitions we might have and it doesn’t seem like the right time or to make sense to make a large trade of the time you envisage. It will be done incrementally over the course of the next several years.
Cedrik Lachance – Green Street Advisor: Would further decline in your share price would create the possibility to reallocate that capital into buying back your shares and be highly…
Edward Sonshine: I don’t want to encourage anybody to short our sock units but the answer to that is probably yes.
Cedrik Lachance – Green Street Advisor: Okay. And just bringing your attention to Zellers what kind of CapEx and tenant inducements have you had to provide those who have taken on those Zellers places?
Edward Sonshine: That’s good question and a bit all over the map but I’ll throw that over to Fred if you want some number there Fred you want to
Frederic Waks: Basically we’re looking at TIs are about $20 a foot across the board and then depending on the degree of the vision of the space and getting it back to the landlords we’re looking at about $50. So $50 in total basically
Edward Sonshine: I mean they really do I mean just thinking of some of the properties as Fred was giving the numbers, they really range all over the map that’s probably a good average that Fred’s giving you. But for example and as I mentioned, they are in secondary markets. In fact you might even call them tertiary and so they range from let’s say in Collingwood Blue Mountain in Collingwood where we’re actually spending a fair amount because we’re essentially demolishing the Zeller store there if I’m not mistaken Fred
Frederic Waks: Yeah
Edward Sonshine: And it’s been
Frederic Waks: We’re de-malling it basically.
Edward Sonshine: Yeah we’re de-malling mall and demolishing malls because the Zeller store and we’re getting pretty good rents with great tenants I guess TJX and other some other national brands as compared to let’s say tenants where I think it’s been replaced by tenant who is taking the store essentially as it’s not much more rent than was being paid by Zellers. So they is a real range depending upon the location
Cedrik Lachance – Green Street Advisor: Okay great. Thank you
Edward Sonshine: Thank you.
Operator: Thank you. The following question is from Sam Damiani of TD Securities.
Sam Damiani – TD Newcrest: Thank you. Good morning.
Edward Sonshine: Good morning Sam. And by the way your reporting and all the other reporting shows me how I really screwed up 19 years ago.
Sam Damiani – TD Newcrest: You want to get into that or you want to just
Edward Sonshine: No I just be clearly I made a big mistake going internal on day one.
Sam Damiani – TD Newcrest: Your unit holders thank you
Edward Sonshine: I’m glad for that and my family is very sad about it
Sam Damiani – TD Newcrest: Hopefully not too sad
Edward Sonshine: No not too sad
Sam Damiani – TD Newcrest: Okay so two quick questions just first on the Zeller space were there anymore of these translation fees to be collected there and so how much it went? And secondly is there any update on the Globe & Mail lands and do you see any opportunity for luxury retailer coming in from the US perhaps?
Edward Sonshine: That’s newsworthy on the Zellers income no that ended as of March 31st that’s where my comments about the 40 run rate in the second quarter was cleaner than clean and in fact without a few of tailwinds have been over 41. So no it’s all paid. The money is in the bank and it’s finished. With Zellers you won’t hear about anymore from again What was the second part of the question Globe & Mail No the Globe & Mail lands I got to tell you the joint venture that we’ve created with Allied and Diamond Corp is actually working extremely well. We have monthly meetings and we have pretty well I’m not going to tell you any details let me settle with that but we have monthly meetings and the process especially considering the street partners is actually going swimmingly. We have great partners and we have basically settled on a billed form for the overall project. I mean this is 7.75 acre project in Downtown Toronto and the latest news – we’ve got we still got some community consultations and political consultations to go through. But our latest estimate is we will be ready to unveil what we intend to do prior to the end of this calendar year something like November or early December once we’ve got all our pegs in place. I think it’s going to be about the most exciting development from a sense of uniqueness and size quite frankly. It’s going to be significant size and it will just be a probably the most forward mixed use development that this city has ever seen. So you can tell I’m excited about it I think it’s going to be extremely profitable in addition to all this excitement. And as far as any new luxury brands it’s always nice to have more choices of tenants to talk to that’s something that’s something that Fred I know is very busy with planning the overall retail component of this project and that’s I think all we can say at this point.
Sam Damiani – TD Newcrest: Okay. And then may be just two quick follow-ons is there any update on the Globe & Mail tenancy there? And secondly how do you see this development being positioned timing wise relative to the convention centre project with Oxford?
Edward Sonshine: The Globe & Mail tenancy will not be staying at the Globe & Mail lands or might I say soon the land of be formerly called the Globe & Mail lands because one of the many things that was going through a rebranding process that will have ready when we unveil in November. I don’t know where they’ll be moving to I don’t know exactly when their lease in their current building has an end. And I suspect that you’ll have to talk to them about an announcement probably sometime next few months I would think they’ll have to announce but it will not be at their current location. Number two what was your second question the timing of development?
Sam Damiani – TD Newcrest: Of the convention center
Edward Sonshine: Well I don’t know what the convention center’s timing is I thought they were all about a casino that doesn’t appear to be happening anymore so I don’t know what the timing I mean at one point they said they are not going to go ahead with the development without a casino. So I don’t know what their plan is about timing. As far as our development it will come in two phases the first phase of the development will probably be where the Globe & Mail building was to be built i.e. right at the corner. We expect to start the development probably within a year from now, no later certainly than the spring of ‘15 with a land mark building at the intersection at the front of (inaudible) So that’s when we get started and then the rest will follow down over the remaining over the next two or three years through 18 19 as quite frankly in accordance with demand economic circumstances project but that’s roughly basically over the next five to six years with the start happening within 12 months to 18 months.
Sam Damiani – TD Newcrest: Great thank you.
Edward Sonshine: Thanks
Operator: Thank you. [Operator Instructions]. Following question is from Alex Avery of CIBC. Please go ahead
Alex Avery – CIBC: Thanks just earlier in your comments you I guess you addressed debt to EBITDA and I guess the expectation that development completions over the next couple of years would have a pretty material impact on that metric. Can you just I guess give us a sense of how you see that development pipeline evolving? You’ve got a lot of completions in 2014 and 2015 do you expect that pipeline to generally remain relatively similar in size as you have completions backfilled by new developments or do you see that tailing off a little bit over the next couple of years?
Edward Sonshine: Let me address the latter part of your question and then Rags will talk about the impact to debt to EBITDA mind you Rags just left the room when I said that or maybe he won’t but the I’m kidding. We expect our development pipeline to actually remain quite robust almost on an ongoing basis. Our plan is to be able to invest $200 million $250 million per year on an ongoing basis because we are extremely confident that we will have what to do even when everything is current development pipeline is completed on the basis of redevelopments. As our urban properties cry out for more things to happen whether it’s any of our multiple properties along the Eglinton transit line up at Sheppard existing downtown properties or joint venture with Allied our continuing joint venture with Tanger there is just so much going on that we identify four five properties every time we have an offsite in February where intensification opportunities are there. So yeah we definitely expect development and redevelopment to continue at the current pace for the foreseeable future.
Alex Avery – CIBC: And the $200 million $250 million number is that a range that you target because that’s sort of the practical capacity for redevelopment activity or is that number grow as the REIT continues to grow?
Edward Sonshine: Hey it’s not a financial capacity number quite frankly it’s more of a human resource number and it’s just an average that we see when – we’ve actually done a lot of work on taking our plans out I hate the risk of sounding soviet on doing a five year plan. And under that – So over the next five years that’s sort of the average places just going to fall based on development and redevelopment opportunities that we have on our gun sites right now.
Alex Avery – CIBC: Okay that’s great. Thank you.
Operator: Thank you. [Operator Instructions]. There are no further questions registered at this time I would like to turn the meeting back over to, Mr. Sonshine.
Edward Sonshine: Okay well thank you everybody for dialing in. I’d just like to add one thing I don’t want anybody to think that we’re turning into development company those numbers compared to our size are of course are very modest. And we only do development for one thing because it’s a lot of work. We do it as the most efficient and best way to create new cash flows for our REIT and that’s something always keep in mind and that is the prism against which any development opportunity measure. It’s hard work which is why very few others do it. Thank you for joining us. As again, we are very pleased with the quarter and anything unforeseen I think you’re going to see us being pretty pleased with the next few quarters too. Talk to you in a few months. Bye, bye.
Operator: The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.